Operator: Good day, ladies and gentlemen. And welcome to the Second Quarter 2016 Earnings Conference Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session, and instructions will follow at that time. I would now like to introduce your host for today's conference, Teri Seck. Ma'am, you may begin.
Teri Seck - Manager, Investor Relations, Garmin Ltd.: Good morning. We would like to welcome you to Garmin Limited second quarter 2016 earnings call. Please note that the earnings press release and related slides are available at Garmin's Investor Relations site on the Internet at www.garmin.com/stock. An archive of the webcast and related transcript will also be available on our website. This earnings call includes projections and other forward-looking statements regarding Garmin Limited and its business. Any statements regarding our future financial positions, revenues, earnings, market shares, product introductions, future demand for our products and objectives are forward-looking statements. The forward-looking events and circumstances discussed in this earnings call may not occur, and actual results could differ materially as a result of risk factors affecting Garmin. Information concerning these risk factors is contained in our Form 10-K, filed with the Securities and Exchange Commission. Presenting on behalf of Garmin Limited this morning are: Cliff Pemble, President and Chief Executive Officer; and Doug Boessen, Chief Financial Officer and Treasurer. At this time, I would like to turn the call over to Cliff Pemble.
Clifton A. Pemble - President and Chief Executive Officer: Thank you, Teri. And good morning, everyone. As announced earlier today, Garmin reported second quarter results highlighted by both revenue and EPS growth. Consolidated revenue increased 5% year-over-year with Fitness, Outdoors, Marine, and Aviation collectively growing 20%, while contributing 70% of the total revenue in the quarter. Each of our business segments produce strong results, which I will highlight shortly. Gross margin expanded to 57% from 54.2% in the prior year, as new products and margin improvement efforts made a clear impact on our business. Operating margin expanded 24.7% from 21.5% in prior year, and operating income grew 20% on a consolidated basis. These strong results generated $0.85 of GAAP EPS; pro forma EPS came in at $0.87, an increase of 21% over the year-ago quarter. Wearable products were a major contributor to our strong second quarter performance. Over the past year, we have extended our wearable product portfolio with the goal of offering a wearable device for a wide range of active lifestyles. As part of this effort, we have been pursuing two important objectives. First, we've been extending the availability of Garmin Elevate wrist heart rate technology across our wearable product lines. Garmin Elevate is now available in multiple models of our running products and our activity trackers, and in our fēnix series of outdoor adventure watches. Customers have embraced Garmin Elevate, and the feedback we are receiving is very positive. The second important objective is to increase customer engagement by offering applications, widgets and watch faces through our Connect IQ App store. Momentum in the App store continues to build as we now offer over 2,000 apps, watch faces and widgets. And we have surpassed 13 million downloads from the store since its launch earlier last year. While I'm pleased with the progress we've made so far, there is certainly much more to do. We remain focused on a strong product road map and building engagement through Connect IQ and on Garmin Connect Community. Looking now at segment highlights, our Fitness segment experienced robust revenue growth of 34% on a year-over-year basis, driven by growth within all product categories. Gross margin came in at 56% and operating margin was 25%, an expansion of more than 400 basis points over the prior year. This generated operating income growth of 60% in the quarter. Recent new product launches include the Forerunner 735XT, a lightweight multi-sport running watch, and the vivosmart HR+, which adds GPS capability to our smart activity tracker. As a result of these and many other recent product releases, we estimate that our share of the GPS-enabled smart wearable market in the United States has grown from approximately 43% a year ago to approximately 57% today, according to market share data. During the quarter, we also introduced the vivomove, a fashionable analog watch with activity tracking features and a one-year battery life. Looking next at Outdoor, which also experienced robust growth, revenue increased 23% year-over-year on strong demand for our outdoor wearables and a full quarter contribution of DeLorme sales. The Outdoor segment generated strong gross and operating margins of 64% and 36%, respectively, representing an expansion over the prior year. Operating income grew 31% over the year-ago quarter. One of the many benefits of our business model is the ability to share product platforms, technologies and components across multiple market segments. Recent examples include the Approach X40, a GPS-based activity tracker with Garmin Elevate wrist heart rate technology and a built-in database of over 40,000 golf courses providing distance to the front, middle and back of the green. We also introduced our next-generation dog tracker, the Astro 430, which when paired to DriveTrack 70 PND can track up to 20 dogs from a vehicle. The Astro 430 can also pair with the fēnix 3 wearable for convenient tracking and alerts at the wrist. Looking next at Marine, revenue increased 8% over a very strong quarter in the prior year. Gross margin increased to 58% in the quarter while operating margin expanded to 26%. Operating income grew 19% in the quarter. Our new fish finders have been well received and we have grown our share in the inland fishing market. Earlier in the year, we introduced Quickdraw Contours, which enables boaters to create maps of their lakes with all processing and storage taking place right on the device. We recently enhanced Quickdraw by offering a community feature called Quickdraw Community, which is a free cloud based mapping platform for sharing user generated HD mapping content. We believe Quickdraw Community will positively impact customer engagement and will expand the availability of HD mapping content, particularly on smaller fishing lakes. Turning next to Aviation, revenue grew 6% over the prior year, as we experienced growth in both OEM and ADS-B systems. Gross and operating margin remain strong at 74% and 28% respectively, resulting in a 13% increase on operating income. During the quarter, the G3000-euqipped Piper M600 received type certification and we are pleased to be the avionics provider for this aircraft. As we continue into the back half of 2016, we will focus on a number of additional certifications, including the aftermarket G5000 system for the Beechjet 400A and the Hawker 400XP. We now have several new products and product enhancements at the Oshkosh Air Show taking place this week. One such announcement is the Flight Stream 510, which is a multi-mode wireless radio system built into a multimedia card, which also includes storage for a variety of flight databases. The Flight Stream 510 is important because it simplifies the task of updating flight databases by leveraging the connectivity of a smart phone or tablet. Flight Stream 510 also shares flight plans, traffic, weather and position information with smart phone and tablets running on our Garmin Pilot mobile app. Flight Stream 510 significantly enhances the ability to incorporate consumer devices in the cockpit. Looking finally at the Auto segment, revenues were down 18% in the quarter, primarily due to the ongoing PND market contraction, and headwinds caused by revenue deferrals associated with certain auto OEM programs. Gross margin came in at 46% and operating margin expanded to 16%. We remain strategically focused on new opportunities in the auto OEM market. While we are typically thought of as a navigation and infotainment supplier, we are also leveraging our competencies in other technologies such as cameras and driver assistance to extend our ability to serve the market. At the recent 2016 Beijing Auto Show, Peugeot has showcased its model 3008, which includes a factory-installed digital video recorder designed and manufactured by Garmin. So, in summary we are pleased with our performance in the first half of 2016 and we believe we are well-positioned for the remainder of the year. With this in mind, we are raising our projected revenue for the year to $2.9 billion, up approximately 3% over 2015. We are projecting gross margin of 55%, and operating margin of 19% for the full year. Factoring in an effective tax rate of approximately 19.5%, pro forma earnings per share is expected to be approximately $2.50. Looking at our outlook by segment, we have increased growth expectations for Fitness and Outdoor to 20% for the year. Aviation and Marine are unchanged, while the outlook for Auto has been reduced slightly based on current market trends. That concludes my remarks. Next, Doug will walk you through additional details on our financial results.
Douglas G. Boessen - Chief Financial Officer & Treasurer: Thanks, Cliff. Good morning, everyone. I'd like to begin by reviewing our second quarter results then move to comments on the balance sheet and cash flow statement. We posted revenue of $812 million for the second quarter, representing a 5% increase year-over-year. Gross margin was 57%, a 280 basis point increase from the prior year, driven primarily by segment and product mix. Operating expense as a percent of sales was 32.3%, a 40 basis point decrease from the prior year. Operating income was $201 million, a 20% increase over the prior year. Operating margin was 24.7%, a 320 basis point increase from the prior year. Effective tax rate was 21% at current quarter which is comparable to the effective tax rate of 20.6% in the prior year quarter. Our GAAP EPS was $0.85, an 18% growth over the prior year quarter, and pro forma EPS was $0.87, a 21% growth over the prior year quarter. We'll discuss gross margin, operating expenses in more detail later. Next, we'll look at second quarter revenue by segment. In the second quarter, we have growth in four of our five segments led by robust double-digit growth on Fitness and Outdoor segments and single-digit growth on Marine and Aviation segments. Collectively, these four segments were up 20% compared to the prior-year quarter. Looking next at second quarter revenue charts. Auto segment represent a 30% of our total second quarter 2016 revenue, compared to 39% second quarter 2015. Fitness grew to 26% of revenue in the current period, compared to 21% in the prior year, while Outdoor grew from 14% to 17%. You can see from the charts illustrate a profit mix by segment, Outdoor, Fitness, Marine and Aviation collectively delivered 80% of operating income in the second quarter of 2016. Fitness operating income as a percentage of total operating income increased from 20% to 27%. And Outdoor increased from 22% to 24%. Looking at year-over-year gross margin by segment. All segments posted gross margin rate increase due to shifts in product mix. Total corporate operating margin increased from 21.5% to 24.7% due to gross margin improvement. Looking next at operating expenses. Second quarter operating expense increased by about $10 million, or 4%. Research and development increased $5 million year-over-year, was flat as a percent of sales. We continue to invest in innovation and increasing resources, focused primarily on Aviation, Fitness and Outdoor. Our advertising expense decreased $1.5 million over the prior year quarter, represented 5.5% of sales, a 50 basis point decrease. Additional advertising spend on Fitness was more than offset by decreases in Auto and Marine. SG&A was up $6 million compared to the prior year quarter, increasing 170 basis points as a percent of sales to 12.8%. Increase in SG&A were driven primarily by expenses associated with the addition of the DeLorme business, and compensation-related costs. A few highlights from the balance sheet, cash flow statement and taxes. We ended the quarter with cash marketable securities of about $2.4 billion. Accounts receivable increased both sequentially and year-over-year to $510 million. Inventory balance decreased sequentially to $508 million. As we exit the seasonally strong second quarter, it remains higher year-over-year due to new product offerings. From second quarter 2016, we generated free cash flow of $135 million, a $71 million increase from the second quarter of 2015. Also, during the quarter, we paid dividends of approximately $97 million, repurchased about $25 million of company stock, approximately $123 million remaining for purchase through December 2016. As Cliff mentioned, we're updating our tax guidance and now anticipate a full year tax rate of approximately 19.5%. This concludes our formal remarks. Jamie, can you open the line for Q&A? Thanks.
Operator: And our first question comes from Charlie Anderson with Dougherty & Co. Your line is now open.
Charlie Lowell Anderson - Dougherty & Co. LLC: Yes. Thanks and thanks for taking my questions, and congrats on a great quarter.
Clifton A. Pemble - President and Chief Executive Officer: Thank you.
Charlie Lowell Anderson - Dougherty & Co. LLC: I wanted to ask, Cliff, it's been interesting, Garmin Elevate has been very helpful for you. This year, I wonder how much do you think the rest of the product portfolio can get penetrated with that technology? And then also just thinking about, as that's helped you this year, if I think about future versions of these products, are there other biometric sensors you feel like you can add so that this is a continuous trend for you as opposed to maybe a one or two-year phenomena?
Clifton A. Pemble - President and Chief Executive Officer: Yeah. So, in terms of penetration of the heart rate technology, we have expanded it broadly across the line, as I mentioned in my remarks. I think we're mostly there. There's probably still a few areas where we believe we can add, and we will do so. But I think, for the most part, over the past year, we've been able to accomplish what we set out to do. In terms of other sensors, we're certainly working on that as a lot of people say they are. I think the biggest challenge is the next level of sensing technology has to prove that it has utility for the customers and it has to be technologically feasible. And so I think we, like everyone else, is searching for that next breakthrough.
Charlie Lowell Anderson - Dougherty & Co. LLC: And then follow-up question for me on gross margin. Very strong in Fitness and Outdoor in the quarter. I think implied in the guidance is that we come down a little bit off that level in the back half of the year. I'm wondering if you could talk about the puts and takes there.
Clifton A. Pemble - President and Chief Executive Officer: Yeah. I think the back half will certainly come down in terms of gross margin because of promotional activities and going into the fourth quarter.
Charlie Lowell Anderson - Dougherty & Co. LLC: Great. Thanks so much.
Clifton A. Pemble - President and Chief Executive Officer: All right. Thank you.
Operator: Thank you. And our next question comes from Ben Bollin, Cleveland Research. Your line is now open.
Ben J. Bollin - Cleveland Research Co. LLC: Hi. Good morning. Thanks for taking my questions. A couple of items. The first one, looking at the Outdoor and Fitness businesses exiting 2Q, could you tell us your impressions of channel inventory, where it stands with a large number of products that you've launched? How you feel going into 3Q? And then also any impressions or thoughts you have longer term about the gross and operating margin profiles of those businesses? How are you managing them? What's kind of your targets? And then I have a follow-up.
Clifton A. Pemble - President and Chief Executive Officer: Okay. Thanks, Ben. So, in terms of channel inventory, especially with the launch of new products, I think it probably varies by regions and by stores, but in general, we feel like the inventory is in a good situation, we feel like our products were selling out well. So, we don't think that there is any issue with our new products stacking up in the channel. In terms of growth and margins, certainly, we've been on a deliberate effort to improve our margins across all of our business segments. I would say that in Fitness, as the mix continues to shift towards the activity trackers that that profile will continue to have pressure on it. While in Outdoors, it's probably somewhat stable at its current trend levels.
Ben J. Bollin - Cleveland Research Co. LLC: Okay. And then looking at the Automobile business, on a standalone basis, a little worse year-on-year performance there. Any adjustments to your thoughts longer-term? It's kind of been a declining mid-teens type business. Any reason it gets progressively worse from that level?
Clifton A. Pemble - President and Chief Executive Officer: I think what we saw so far in the first half of 2016 is that the European market has weakened more than what it had been up to that point. So, I think that's probably the big change in our outlook. But generally, we still feel like, it's a good market and we feel like we're doing very well in that market in terms of market share.
Ben J. Bollin - Cleveland Research Co. LLC: Thank you.
Clifton A. Pemble - President and Chief Executive Officer: Thank you.
Operator: Thank you. And our next question comes from Brad Erickson with Pacific Crest Securities. Your line is now open.
Brad Erickson - Pacific Crest Securities: Hi, thanks for taking my questions. First, I guess you mentioned the market share data and I believe it was the GPS-enabled smart watches, so that was helpful. In terms of activity trackers, can you provide any market share update for that particular subcategory?
Clifton A. Pemble - President and Chief Executive Officer: Yeah, Brad. The market share in activity trackers, we believe we're roughly at the 10% level in the U.S. market. Internationally, there's areas of strength and weakness across the whole world that we're actually doing very well in bigger European countries, and also in Asia.
Brad Erickson - Pacific Crest Securities: Got it. And then you've obviously come out with a lot of new products here in Fitness recently. Can you talk about the second half and how we should be thinking about the cadence of new products on a relative basis to first half? Thank you.
Clifton A. Pemble - President and Chief Executive Officer: I think the first half was, certainly, a big part of what we had planned for the year, but we still have some additional releases that we'll be announcing here in the second half, as well.
Operator: Thank you. And our next question comes from Tavis McCourt with Raymond James. Your line is now open.
Tavis C. McCourt - Raymond James & Associates, Inc.: Hey. Thanks for taking my question. I've got a few of them. But first, for clarification, can you remind us what your previous guidance was for year-over-year decline in the Auto segment?
Clifton A. Pemble - President and Chief Executive Officer: It was minus 15%.
Tavis C. McCourt - Raymond James & Associates, Inc.: Okay. So, you think the rest of the year will look more similar to what we saw in Q2?
Clifton A. Pemble - President and Chief Executive Officer: I think roughly similar, yes.
Tavis C. McCourt - Raymond James & Associates, Inc.: All right. And then if I look back now going back six quarters or more, you've had a nice run here in your Asia-Pacific business. And I'm wondering, is all of that attributable to Fitness wearables or are you seeing some broader strength beyond Fitness in that region?
Clifton A. Pemble - President and Chief Executive Officer: We're doing very well in Fitness and Outdoor wearables in that region.
Tavis C. McCourt - Raymond James & Associates, Inc.: Got it. Doug, do you have the impact from net deferred revenue drawdown in the quarter?
Douglas G. Boessen - Chief Financial Officer & Treasurer: Yes. Overall, deferred revenue had a headwind of about $8 million. We anticipate probably full year, probably about an $0.08 to $0.10 headwind for revenue.
Tavis C. McCourt - Raymond James & Associates, Inc.: Got it. And then Cliff, a product question. You mentioned in your prepared script, vivomove, and this was an interesting one I think because, really, a departure from the look and feel of Garmin's activity trackers historically. And so I know it was just very recently launched, but do you have any early indications of sell-through on that device?
Clifton A. Pemble - President and Chief Executive Officer: I think it is still very early. I think that product appeals to a slightly different kind of customer than our traditional base, so we're waiting to see how it does.
Tavis C. McCourt - Raymond James & Associates, Inc.: All right. Fair enough. Thanks very much.
Douglas G. Boessen - Chief Financial Officer & Treasurer: All right. Thanks, Tavis.
Operator: Thank you. And our next question comes from Jerry Liu with Morgan Stanley. Your line is now open.
Jerry Yuan Liu - Morgan Stanley & Co. LLC: Hi, thank you. Can we talk a little bit about some of the drivers for earnings in the second half of the year? It looks like your gross margin will be better compared to second half of last year. So it looks like this is – the lower year-over-year earnings in the second half this year are mostly has to do with higher OpEx, maybe higher advertising. Can you talk about any other drivers, potentially fewer product launches or anything else?
Douglas G. Boessen - Chief Financial Officer & Treasurer: Yeah. As it relates to the gross margin in the back half, you'll see probably some improvement related to segment mix. They're primarily – but looking at the gross margins for the full year, we anticipate most of the segments for the full year to be comparable to 2015 except for Fitness, which Cliff quickly mentioned, probably be lower due to higher percentage of activity tracker wellness. We think that's probably going to be – fitness gross margins full-year probably in the low 50s%. As it relates to expenses, a couple of things to think about expense in the back half, the first of which is relating to acquisitions. DeLorme will have full two quarters of expenses relating to DeLorme acquisition, as well as in 2016, this is the year we have a 53rd week, so we have one extra week of expenses in 2016 compared to the previous years. And as it relates to advertising, we think that advertising probably as a percentage of sales will be comparable year-over-year. So, there'll probably be some increase in dollars, talking about for full year here, but in there, but as percentage of sales, we think advertising will be relatively comparable to 2015.
Jerry Yuan Liu - Morgan Stanley & Co. LLC: Got it. And then just one question in terms of the different geographies. It looks like Americas was maybe a little weaker in the second quarter. I know you said EMEA was probably weaker, but maybe just some details on the Americas' growth rate. And then going forward, would you expect because of the depreciation in the pound, any need to maybe raise prices there and potentially any demand impact from that? Would any of that be factored into your guidance? Thank you.
Clifton A. Pemble - President and Chief Executive Officer: Yeah. Jerry, I think in terms of all the factories you mentioned, it's definitely rolled into our guidance. Americas has been a little weaker for two reasons. One is that we are more exposed in this market, the Americas market, due to PND market cycles. So, that's one dynamic. And then the second thing is that the activity tracker market in the Americas is more competitive than what we see on the other areas of the world where we're doing comparatively better. So, those are two moving pieces there in terms of the Americas performance. In terms of the specific impact of the pound, we're definitely working that situation, and much like what we did with the euro situation last year, there could be some impact on prices, but I think all of this is like threading a needle. You need to see where you have the ability and the power to raise prices and also where you do not and make the appropriate moves.
Jerry Yuan Liu - Morgan Stanley & Co. LLC: Got it. Thank you.
Clifton A. Pemble - President and Chief Executive Officer: Thank you.
Operator: And our next question comes from Will Power with R.W. Baird. Your line is now open.
Will V. Power - Robert W. Baird & Co., Inc. (Broker): Great, thank you. Maybe just a follow-up a bit on the previous question, thinking about the Americas and the competition you're seeing in wearables there. I think one of the market share leaders planning new products here in the second half of the year. So is that something that can stabilize year-over-year for you or should we expect that to actually worsen and be offset by this continued better performance in EMEA and APAC?
Clifton A. Pemble - President and Chief Executive Officer: Well, I think longer term, we would expect the Americas to grow as well. But again, the near-term dynamics of the PND decline are outweighing the growth we've had in some of the other segments.
Will V. Power - Robert W. Baird & Co., Inc. (Broker): Okay. And then I have a couple of financial questions. Just looking at R&D, at least on an absolute dollar basis, at a higher level this quarter. Is that the right number to look at moving forward as you move into Q3 and Q4, or there were some things that elevated that this quarter?
Douglas G. Boessen - Chief Financial Officer & Treasurer: Yeah. So, as I mentioned, R&D will be increasing, primarily because of that DeLorme acquisition, which we'll be adding in there, and also as we add head count just for newer product introduction. So, we'll see overall from operating expenses, as percent of sales, will be increasing overall full year.
Will V. Power - Robert W. Baird & Co., Inc. (Broker): Okay, all right. And then just on the buyback, I know you still have some remaining, but I wonder if you could just give us a broader thought process on use of cash once you exhaust that? Do you return to a buyback or how do you think about buybacks, cash, once you get through the current authorization?
Douglas G. Boessen - Chief Financial Officer & Treasurer: Yeah. So, when look at – basically our goal is to return about 100% our free cash flow back to the shareholders between dividends and share repurchases. As it looks at share repurchases, we look at a number of things there, one of which, obviously, is our business conditions, as well as our market condition there, and we'll play that out depending upon how that goes throughout the rest of the year and the future.
Will V. Power - Robert W. Baird & Co., Inc. (Broker): All right. Thank you.
Clifton A. Pemble - President and Chief Executive Officer: Thank you.
Operator: Thank you. And our next question comes from Paul Coster with JPMorgan. Your line is now open.
Paul A. Simenauer - JPMorgan Securities LLC: Thanks. This is Paul Simenauer for Paul Coster. Thanks for taking my question. Can you confirm the DeLorme contribution to both margins and topline in 2Q? And in which segments can we expect incremental M&A, given the large cash balance?
Douglas G. Boessen - Chief Financial Officer & Treasurer: Yes. So, in terms of DeLorme's contribution in margins, we don't break any of that down. I would say in terms of topline, it's attributed to the Outdoor segment. And it represented less than half of the overall growth that we had in the segment for the quarter. In terms of our outlook for M&A, we don't really comment on our plans, of course, as you can understand. I think our strategy has always been to look for good fits in technology or product lines that would complement our overall portfolio. And that's what we've been doing, and that's what we continue to do.
Paul A. Simenauer - JPMorgan Securities LLC: Thanks. And then, a quick housekeeping. The recognition of deferred has slowed somewhat. How should we think about the timeline or recognize the full balance? I know you mentioned some incremental was booked this quarter but that seems like a one-off. Thank you.
Douglas G. Boessen - Chief Financial Officer & Treasurer: As it relates to deferred revenue?
Paul A. Simenauer - JPMorgan Securities LLC: Yeah.
Douglas G. Boessen - Chief Financial Officer & Treasurer: So basically, in the second quarter, we had $8 million of headwind on deferred revenue, and for the full year, we're anticipating a headwind of our EPS of between 8% and 10%. So, probably a little bit less than that in the back half.
Operator: Thank you. And our next question comes from Simona Jankowski with Goldman Sachs. Your line is now open.
Simona K. Jankowski - Goldman Sachs & Co.: Hi. Thank you. First, in terms of growth margins in the quarter, which obviously expanded quite a bit both in Fitness and Outdoor, could you help us quantify and understand the drivers behind that? I imagine there is some benefit from leverage but then other factors, like pricing or mix within those segments, that would be helpful.
Clifton A. Pemble - President and Chief Executive Officer: Well, Simona, I think probably the biggest factor I would attribute it to is the refreshing of our product lines and the ability to reset pricing with products and new features that are more competitive in the market. So, I think that's the main contributor. We're also very focused on product cost that we're working cost out of the products continually, and that's also had an impact on our business.
Simona K. Jankowski - Goldman Sachs & Co.: Thank you. And then somewhat similar question in the PND segment, you also refreshed and rebranded that product line earlier in the year. Are you seeing a benefit there from the price increase that you were able to put in and is there a bit of a change in the trade-off that you are willing to strike in PNDs between pricing and volumes?
Clifton A. Pemble - President and Chief Executive Officer: I think we've definitely seen a benefit in the launch of the new lines. They have great new features that we believe are the best anywhere. But in terms of limits, certainly there is a limit in terms of pricing versus volume and our goals has been to maximize profitability.
Simona K. Jankowski - Goldman Sachs & Co.: So in other words, are you giving up a little bit of market share there as you try to price higher?
Clifton A. Pemble - President and Chief Executive Officer: I think we're certainly sensitive to pricing and profits in the segments, I will say. I think in terms of our current approach and the evidence of the market share that's out there, there could be some slight degradation of market share, but I think the evidence is very slight for that and in general we feel like our market share is still very strong, both globally and in the U.S.
Simona K. Jankowski - Goldman Sachs & Co.: And then just lastly, what was the FX impact in the quarter?
Douglas G. Boessen - Chief Financial Officer & Treasurer: The FX impact in the quarter was about $3 million of headwind, so a small amount.
Simona K. Jankowski - Goldman Sachs & Co.: Great. Thank you.
Clifton A. Pemble - President and Chief Executive Officer: Thank you.
Operator: Thank you. And our next question comes from Ivan Feinseth with Tigress Financial. Your line is now open.
Clifton A. Pemble - President and Chief Executive Officer: Okay. Seems like we don't hear Ivan.
Ivan Feinseth - Tigress Financial Partners LLC: Hello, I'm sorry. Thank you for taking my question. Congratulations on an incredible quarter...
Clifton A. Pemble - President and Chief Executive Officer: Thanks, Ivan.
Ivan Feinseth - Tigress Financial Partners LLC: ...and really putting out some great products. My question is more about your marketing focus and your marketing spend. Now there are a lot of places where I expect to see Garmin presence and I do but there's a lot of places where I would either expect and hope to see the presence, especially in the wearables and even in the action camera, and I still don't see it. What is your overall big picture of marketing plan and do you see also more integration on a lot of your apps with, let's say, healthcare or fitness apps, or gym apps and things like that?
Clifton A. Pemble - President and Chief Executive Officer: Yes. In terms of product placement, certainly, there's puts and takes, but we think we're generally represented well at every major retailer. And we also have a very strong presence with the product that you mentioned, particularly in the Fitness and the Outdoor area in specialty retailers. So, generally, we've been working hard on expanding our retail presence. We've been working hard on improving the presentation of our products at retail over the past year. And we think that we've made a lot of progress. In terms of integration of our apps with others, we already do quite a bit of that, for instance, we have integration with MyFitnessPal for nutrition tracking. And we also have integration on the cycling side with Strava as well. So, we're very open to partnerships and we've been demonstrating that.
Ivan Feinseth - Tigress Financial Partners LLC: Who do you see as like your strongest marketing partner?
Clifton A. Pemble - President and Chief Executive Officer: Well, I think we're our strongest marketing partner. We're focused on the Garmin brand and we're focused on partnerships that enhance the Garmin brand.
Ivan Feinseth - Tigress Financial Partners LLC: Okay. Thank you. Congratulations, again.
Operator: Thank you. And our next question comes from Andrew Spinola with Wells Fargo. Your line is now open.
Andrew C. Spinola - Wells Fargo Securities LLC: I saw that reference to the ADS-B contribution to the growth in Aviation in the quarter, and I'm just wondering if you could step back and give us a snapshot of where that opportunity is today. I know it's multi-year process. Is it still building? Is it going to become bigger and bigger contributor over the next couple of years for you? And is it still – are you still strongly positioned as you were a year or two ago there?
Douglas G. Boessen - Chief Financial Officer & Treasurer: Yes, in terms of where we're at, it's probably difficult to precisely nail it down, but we think it's somewhere in the 20% to 25% equipage that's occurred so far in the market with the vast majority of the equipage yet to come. I think pilots and aircraft owners are just like everybody else, they'll probably – a lot of them will wait until the last minute so, we do see a building momentum as time goes on as we lead up to the 2020 deadline. In terms of how we're doing, I think we're doing very well, it's one of those areas where it's difficult to precisely nail down market share, but we believe our share so far in the equipped airplanes is north of 70%.
Andrew C. Spinola - Wells Fargo Securities LLC: And Doug, how does the ADS-B product line impact the margin profile of aviation? Is it in line or potentially better?
Douglas G. Boessen - Chief Financial Officer & Treasurer: It's in line.
Andrew C. Spinola - Wells Fargo Securities LLC: In line. All right. Thank you very much
Clifton A. Pemble - President and Chief Executive Officer: Thank you, Andrew.
Operator: Thank you. And I'm sure no further questions at this time. I'd like to turn the call back over to Teri Seck for closing remarks.
Teri Seck - Manager, Investor Relations, Garmin Ltd.: Thank you all for joining us this morning. Doug and I will be available for a call back. Have a great day.